Operator: Good morning, ladies and gentlemen, and welcome to the IP Group Plc Half Year Results Investor Presentation. [Operator Instructions] The company may not be in a position to answer every question it receives during the meeting itself. However, the company can review all questions submitted today and we'll publish their responses where it's appropriate to do so on the Investor Meet Company platform. Before we begin, as usual, we would just like to submit the following poll. And if you'd give that your kind attention, I'm sure the company would be most grateful. And I would now like to hand you over to the executive management team from IP Group Plc. Greg, good morning, sir.
Gregory Smith: Good morning, and thank you to Jake. And as always, thanks to everyone at Investor Meet Company for again hosting our half year results webinar. I was reflecting -- I was reading my FT on Saturday, and I almost choked my yogurt, I guess, these days, I've sort of had to move on from corn flakes for longevity reasons. But I saw the headline, the U.S. market for IPOs has exploded back to life with the busiest week for 4 years, and that's not something I've seen for a few years, I guess, maybe obviously based on the cycle. But it was an interesting reflection that the public markets have had quite a positive impact on the portfolio in more ways than one so far in 2025. And hopefully, there is more opportunity that arises for us in future as a result. I'm Greg Smith. And as CEO, I have the honor of leading IP Group and our excellent team on our mission to accelerate the power of science for a better future. And with me on today's call, we have our managing partner, Mark Reilly; and our CFO, Dave Baynes, both in the room really and virtually. As usual, this presentation will be uploaded on to the IR section of our website with a few appendices. Before we start, please note all the usual disclaimers and you can read that in the time I'm going to spend on the slide and good luck, but this covers all the information, particularly any forward-looking statements that we may make during the course of the next hour or so. So in terms of what we're going to cover, I'll provide an overview of the Group's performance in the first half, then I'll pass on to Mark, and he'll give an update on a number of our key balance sheet holdings and then some other notable development actually. And then Dave is going to run us through a summary of the numbers, and then we'll head into Q&A. As Jake said, as always, please post your questions up in the Q&A section. And as always, we'll endeavor to cover them all either live in the session or afterwards by platform as we run out of time. So for the half year, I think the main message is, overall, we made strong progress in the first half. We saw a number of encouraging developments in the portfolio. And indeed, the pipeline of significant milestones remains good through to the end of 2027. The public markets were more of a contributor in terms of fair value. And then there were a number of other positive developments in the private portfolio. That public side included the successful IPO of Hinge Health in May and strong half year results from Oxford Nanopore who beat city expectations. We recorded total cash proceeds of GBP 30 million. That's 9x what we saw in the first half of '24. And as a reminder, I said at the full year that we were targeting GBP 250 million of exits by the end of 2027. So what we've seen year-to-date means that we remain confident in achieving that target. And we had a small overall loss for the first 6 months. However, NAV per share essentially stabilized in the reporting period and has subsequently increased since the period end to about GBP 1 a share. We continue to be in a strong balance sheet position and have good liquidity, and we still got gross cash of GBP 237 million. And obviously, that's significantly up from this time last year when we had the Featurespace exit and others during the period. And then a final note is we are seeing increasing momentum in our efforts to add to our private scale-up capital under management. And the market hasn't necessarily moved as quickly as we hoped or expected on this front. However, we have good confidence of securing at least one new mandate by the time that I talked to you at the time of our full year results. So on the portfolio, coming into the year, 4 out of our top 5 holdings have seen encouraging developments in the year-to-date. As Mark and DB will cover briefly later, the fifth Oxa, while it's making encouraging underlying progress, is yet to close its latest funding round. And so our revised valuation has been pegged back to reflect that position. On Hinge, we were delighted for Dan and Gabe and the team to have the opportunities to ring the New York Stock Exchange opening bell on May 22. PitchBook described their successful IPO as a pivotal moment for digital health, signaling the reopening of the health tech public markets after a 3-year drought, and Mark will cover more on this shortly. But in summary, the company has traded very well since IPO is up about 80% off the back of strong Q2 numbers. Oxford Nanopore, they delivered a strong first half of trading. They beat analyst expectations on both revenue and on a lower EBIT loss. I think our observation was that growth was strong across all sectors and geographies. So by customer category, they grew in academic and in all of the 3 sort of applied sectors. And then by regions, even despite the sort of some of the headwinds in America, Americas was up, APAC was up, EMEA was up. So we're confident in the outlook for that company. By way of context, we are now the second largest holder behind EIT, The Ellison Institute of Technology, which is backed by Larry Ellison, as many of you will know. Of course, Larry recently became briefly the world's richest man, and he obviously has quite an incredible track record of delivering value through Oracle. I thought it was quite interesting that the U.K. press has started to pick up more recently on EIT and its Oxford Ambitions. And Nanopore is very relevant. If you go to the website, you can see how relevant it is to their focus on 2 of their big themes. One around health, medical science and generative biology and the other around food security and sustainable agriculture. In terms of our position, as a reminder, we invested about GBP 80 million into the company over time. We've realized about GBP 110 million to date. So we've already covered our costs in full. And as you'll have seen in our portfolio data for this year and last year, we've taken a small amount of liquidity on a couple of occasions. And as you'd expect, we continue to very actively monitor the company against where we consider fair value to be at any given time. But as I said, we remain really confident in the medium-term outlook for the business. And we -- our feeling was that the full year '25 guidance was maybe a bit conservative given the strong first half update. So we're confident in our holding. We look forward to further commercial updates from the company. There's clearly a number of interesting commercial relationships brewing there in biopharma and in clinical and also the deeper dive on their refined commercial strategy, which will be coming out in Q4, particularly around how they intend to exploit the sort of $13 billion to $14 billion of TAM that they've identified in what they call the higher priority segments. And then on Istesso, following the news that the -- their most recent trial didn't meet its primary endpoint back in February, the management team has worked hard to progress that program through to value. And the company published a peer-reviewed paper in The Journal of Pharmacology and Experimental Therapeutics, JPET, to its friends, and that was outlining the impact of its compounds on various chronic diseases where tissue damage occurs. So rheumatoid arthritis, as you know, but also things like osteoporosis, fibrosis and interestingly, sarcopenia or muscle loss. And that last bit, I think, led to the paper being picked up by some of the longevity publications because muscle loss is particularly relevant at the moment around the weight loss drugs very common side effects of some of the GLP-1s. And during the period, the company also added a very experienced nonexec, Dr. Mike Owen, delighted to have Dr. Owen joined the Board. And he -- you might recognize the name. He was a co-founder of Kymab, which sold to Sanofi back in 2021 for -- I think it was a GBP 1.1 billion upfront. And when he joined, he said Istesso's old approach to reversing tissue damage could fundamentally change the treatment paradigm for chronic diseases and therefore, holds enormous clinical and commercial potential. As I mentioned a few months ago at the full year results, the company has got funding to carry out a further trial and the location and design of which is well underway, and we anticipate that will commence before the end of the year. On exits, we had a good period for cash realizations. We set an internal target of GBP 50 million for full year '25 coming into the year and the momentum into half 2 and I guess, a more elevated level of inbound interest in the portfolio gives us a high degree of confidence that we'll achieve that and likely exceed it. Of the examples shown here, 2 companies were outright company acquisitions and one Centessa was a partial realization. For our remaining holding in Centessa, the company recently gave a positive update at the Morgan Stanley Global Healthcare Conference. And we anticipate the readout of the Phase II in narcolepsy is pretty imminent, and that will be the next catalyst for our remaining holding. In addition to these examples, also worth mentioning, we realized a small amount of our Hinge holding at the time of the IPO. And as I mentioned, the balance has gone up by around 80%. So our lockup expires on that in November. On what we've done with that cash, as a reminder, our policy is a commitment to deliver cash returns to supplement capital growth using a proportion of the exits that we make in any given year. At the moment, we are using buybacks, and we said that we'll do that until the discount gets to a lower level than 20% and given that persistent discount at the time of our full year results back in March, we announced the intention to use a greater proportion of our realizations in 2025, and we will again review that towards the end of this year based on our capital forecast for going into 2026. The current program is GBP 75 million, and that includes GBP 20 million that we announced in June. At today's date, as of yesterday, we've got about GBP 9 million left to run on that program. And so as we make further realizations, we'll look to add to that total. I think it's worth noting the acceleration this year has been quite significant. In fact, yesterday, I was looking at the numbers, our share count fell below 900 million shares for the first time, which means that we've now retired 15% of our capital in issue. We focused lots of our capital in the last couple of years on the buyback and on existing portfolio and getting those with the highest value potential through to their milestones and value realization. And I've -- we're starting to see as sort of performance and market appetite continues to return, we'll start to selectively add a few more new holdings to the balance sheet portfolio, including from Parkwalk and the wider ecosystem. But before I hand on to Mark, I just want to sort of briefly look forward quickly a reminder of the IP Group investment case, 3 things to believe. The first is that there is significant value potential in U.K. science and technology. I've talked about this and exemplified this at our Capital Markets Day back in June. The second is that IP Group is well positioned to exploit this given the team, the track record, the sourcing and the portfolio and that this represents an attractive shareholder opportunity, particularly given the discount to NAV against which we currently trade. To reiterate again, this is something that I've covered in the past few updates. This in a single slide, I guess, depicts the capital strategy that we are following to be able to exploit that opportunity. From the perspective of a developing science and technology business, we're one of the few investors that can support development from the very earliest stages to relative maturity at the sort of venture growth end of the journey. And complementary private funds are strategically important in terms of pipeline, particularly in the case of Parkwalk, but also development capital for our businesses, and they also contribute fees to mitigate our net overheads. In terms of scale and ambition, Parkwalk, we're aiming to maintain around GBP 0.5 billion of assets there, successful exits of balancing off against new subscriptions. On the balance sheet, we're focused on NAV per share delivery, and that obviously includes that GBP 140 million of cash that we've returned to shareholders over the last couple of years and is appropriate for where we are in the cycle. And then on the scale-up fund side, under which you'll remember Hostplus increased their commitment by a further GBP 125 million last year. And that's where there is a real growth opportunity to scale available capital to ensure strong returns from our balance sheet and our sources of -- for our various investors. On the first bit of that, just a quick update on our differentiated U.K. sourcing platform, Parkwalk. The business here, as you'll see from the numbers, as I mentioned, has about GBP 0.5 billion of assets under management there, which are all EIS tax advantage capital, and we partner with many of the U.K.'s leading universities to source new spin-out opportunities. I'll just pull a couple of highlights out from the first half. And so one, in addition to the alumni funds that we have with Oxford and Cambridge and Imperial and Bristol, we were very pleased to add a new fund in collaboration with Northern Gritstone, which covers Leeds, Liverpool, Manchester and Sheffield. And then similar to the theme that we're seeing on the balance sheet side, last week, we were delighted to announce the acquisition of one of our portfolio companies in the funds, [ Cytora ], which gave a good return to our EIS investors. And for our Plc shareholders, that generates additional fund management fees that contribute to lowering our net overheads. And then at the other end of the -- of that sort of capital strategy is our objective to add further scale up capital. I mean the context here continues to move in our favor. Our overall observation is that the public and private sectors are starting to align in terms of their policy and their approach. And during the first half, there have been quite a lot of important points of progress and those things like updated mandates and increased funding for the British Business Bank and the National Wealth Fund, which you can see there on the left-hand side. And a lot of that is highly aligned with the industrial strategy in the U.K. and the sectors that we focus on in turn, aligned with those. The pensions bill is currently passing through and the commons, how long that's quite going to take, but that removes some of the widely cited barriers to pension funds and similar long-term capital investing more in private productive assets in the U.K. And the Mansion House Accord, which is about 17 of the largest workplace pension providers in the U.K. committed to a voluntary commitment to have 10% of their default schemes in private markets by 2030, including half of that capital going into the U.K. So there's been quite a lot of sort of sector activity. Our experience and probably that of the wider market when you look at mandates is that there hasn't been very many VC commitments, perhaps with the notable exception of the Phoenix, Schroders joint venture future growth capital. But there's not been much that's really at scale. And our view is ultimately, that's what's needed and where the big opportunity lies. I would say encouragingly, the number and the stage of conversations with potential funders has seen quite an increase since the time of the Match House Accord, and we've added some additional experienced resource to our team to help exploit that. As I said at the start, we've got a good degree of confidence in securing at least one new mandate by the time I next talk to you for the full year results. And then quickly before I hand on to Mark, I thought I'd just cover a few of the companies or trail a few of the companies that we are excited about and particularly those that have either presented or are going to present at our events this year. So OXCCU, our sustainable airline fuel business. Mark is going to talk about that one shortly. Andrew, the Co-Founder and CEO, will be at our flagship scale-up event in October. Intrinsic, you might remember that the Co-Founder and CTO of Adnan presented at our Capital Markets event. There's a video on our YouTube channel. If you like a lot of technical detail, that's quite a technical one. They are producing the world's smallest nonvolatile memory, and they have a sort of tape-out coming towards the back end of this year. That does have very significant commercial potential given the company is initially targeting a segment of the memory market that's worth more than GBP 50 billion. And then genomics at the Capital Markets Day back in June again, David Thornton, who is the President there, gave a very compelling overview of the technology and its commercial applications. You also say right till the end to update everyone that revenues will grow by more than 100% this year and will do so again in 2026, taking them to $70 million, $80 million. He said they'll be EBITDA positive by the end of this year. So that's another of our top 20 companies to watch. And then on the therapeutics, our current clinical stage portfolio is worth about 23p per share, and there's a good number of clinical milestones coming up between now and the end of '27. Again, Mark is going to cover a couple of those shortly. And then just one other quick thing to mention just briefly on our licensing portfolio. We don't speak much about this. We have a licensing portfolio of IP predominantly from Imperial, and that contributes a few hundred thousand to our net overheads. There are 3 main projects in that portfolio. But I mentioned at the start that the public markets have contributed in more ways than one this period. And back in January, Metsera, Therapeutics business IPO-ed in the U.S. and actually, we licensed the core IP to Metsera. Now of course, it's early days, but if successful, there could be quite a meaningful source of royalty income over time. So we'll keep you updated on that one. So with that, I will hand on to Mark to talk a bit more about the portfolio.
Mark Reilly: Thank you, Greg. Good morning, everybody. So there have been a few notable events over the course of the first half, perhaps arguably the standout one certainly for me personally having sort of witnessed the whole journey of Hinge Health. I recall, I think it was 2012, 2013 when its founder, Dan Perez who remains the Chief Executive of Hinge Health, walked into our office and very confidently said I'm going to make you guys a lot of money. And I think you can say that some confidence that, that was accurate now with a 50x overall return on our investment so far on to -- that asset. So the company, of course, we were the first investor when Dan was still a PhD student in the University of Oxford. It went on to raise substantial sums in -- from some of the top Silicon Valley investors, underwent very impressive growth and had that successful IPO in May of this year. We were able to sell a small amount at the IPO, and we did sell a larger chunk of our holding prior to that at a very good valuation in the private markets 2 or 3 years ago. But we still have a remaining holding that was worth just under $40 million at the half year and some share price continues to trend upward since then, which is good news. So that holding is locked in now until end of November, but we still have that holding [indiscernible] in the company has since put out some announcements of its latest results, its Q2 announcement and again, exceeded expectations, did very well. Revenue reported is increasing at 55% year-over-year, and they're now at $140 million of revenue in that period, and they're projecting 40% of the year-on-year growth going forward. So still very strong commercial progress there. I saw there was a question in the Q&A. The first question that came in, in the Q&A was why sell Hinge Health when there are lots of other smaller holdings in the portfolio that are -- that were described as nonlisted and nonrelevant in the question. So I would, first of all, highlight that Hinge was one of those nonrelevant nonlisted holdings until relatively recently. And so we think there is value in holding stuff that has potential that could hit that inflection curve. I think also the reason why you as investors have us holding shares on your behalf that there are some rationale for doing that, which is that we have this technical expertise internally that we can kind of arbitrage technical risk. We can judge that better than others. We have influence on these companies. We have extra visibility of a lot of these companies that others don't. And when those things become less true as the companies mature, that's less of a kind of rationale for us to hold them and so where that liquidity exists. That's where we start to consider divesting those positions. So just running through some of the other -- the top firm assets by value in the portfolio, just to update you on what's been happening at some of those assets. Greg spoke quite a bit about Nanopore, so I won't spend too long on that one other than to reiterate the fact that it continues to outperform its peers. They had a positive set of results that beat the market expectations, 28% rise in revenue, up to GBP 105 million now. And the key thing that we were looking for in those results was a diversification of revenue, a demonstration that they're moving into applied markets into clinical markets as well as this strong base of research revenue that they've already demonstrated over the past several years. And we really saw that this time. The revenue grew by over 50% in the clinical domain and 27% in the applied domain. So that's really showing that they're moving into those big market opportunities, and that's very encouraging. On [indiscernible] as Greg said, this was frustrating that they missed this endpoint in the first Phase II trial, but frustrating because it also demonstrated there's so much potential in this drug. And as Greg said, there was some data from that trial published in the Journal of Pharmacology and Experimental Therapeutics that demonstrated that this ability to elicit tissue repair, not just sort of preventing degrading the tissue, but actually showing that it's repairing the tissue, which has a lot of implications, but it showed these improvements in bone erosion and disability and fatigue. And so that has a lot of implications for sort of slowing aging and to slow the progress and even reverse the progress of some of these really detrimental conditions that people suffer from like this, their focus is currently on rheumatoid arthritis. So that publication certainly increased market confidence that there's a mechanism of action here that's really interesting. The efficacy of this drug is real that there's a range of clinical indications and diseases where it could be used. So we're sort of frustrating because of this potential. And unfortunately, that benefit didn't manifest in particular primary endpoint chosen over the time scale and over the cohort of this first trial. But we've learned a lot from that. They're going to do another trial now that implements those learnings and focuses on the things that they think they can really create a difference with, and they're well-funded to do that trial. So that's positive in that respect. So I remain optimistic about the sort of long-term prospects of that company. And finally, on this side, amongst our most valuable assets, Pulmocide. So they -- not a huge amount to report there because things are going well. The trial is on track. That's progressing according to plan. This is developing these respiratory treatments [indiscernible] inhaled treatments for respiratory infections like invasive pulmonary aspergillosis is a very nasty thing that you get wrong with your lungs and sort of mold infection in the lungs. And the trial is recruited well. And so we're still expecting that to read out in sort of H2 of '26 and have some results from that next year. Finally, not on this slide, but Greg also mentioned Oxa. So Oxa, we have taken this impairment on the holding there. It continues to make good technical progress. We've got very encouraging commercial progress. The company is doing well. It has been harder than we hope to raise money for the company, a bit frustrating because we have sort of the building blocks around, but it's -- we're just not quite over the line with that yet, but we are quite advanced now in discussions with some major potential cornerstone and I hope to have some good news on that asset soon. So that's sort of the higher-value stuff in the portfolio. That's the kind of top end. But another -- just picked out another handful of assets to mention because of some exciting developments in those assets. So Artios you may recall, is a company that's developing DNA damage response-based cancer therapies, and they are focused on hard-to-treat solid tumors. It's now public that they're targeting pancreatic and colorectal cancers, both of which have a huge, unfortunately, unmet clinical need. So a big market opportunity for the company, a big commercial opportunity. They did publish some of the sort of early data from the current trial, the Phase II trial at the American Association for Cancer Research Conference, and that data was very well received. They're funded to continue that trial and to explore the indications that they're seeing. And so we expect to see results from that end of next year, sort of early 2027 is the most likely time [indiscernible] I have to sort of qualify all of these clinical trial expectations that there are always things that can go off track and it can be delayed. But at the moment, as far as we know [indiscernible] both on track and expecting the same time scales that we've already guided. Then finally, there's 2 assets to mention in our Cleantech portfolio. So OXCCU, I don't know we maybe haven't spoken a huge amount about this company in the last few presentations, but this is a company in Oxford that spin out of Oxford University that's developing the world's lowest cost, lowest emission methods of making sustainable aviation fuel. So you use sort of waste carbon, and you turn it into fuel for airplanes and it's a good news for those of us who would like to continue traveling without, I think, quite the impact on the environment that it currently has. So that company raised GBP 28 million in a Series B round during the period. And the exciting thing about that is the sort of incredibly impressive list of strategic investors who came in to really validate the proposition that OXCCU is working on. So it was -- round was led by Safran, which is the world's second largest aircraft equipment manufacturer. The energy company Olin came into the round. IAG, which is the parent company of British Airways, came into that round. So a real kind of validation of their proposition based on the strategic interest that they've had in strategic financial support that they've got. They've built a demonstration plant. It sat on the top of my head there in Oxford Airport that's kicking out jet fuel. It's working. It's producing jet fuel now, and they started the process to develop a full-scale commercial project in the U.K. So that will be the sort of next scale up of their project. And finally, Hysata, we've talked about Hysata in these presentations before, a very compelling proposition. They have a hydrogen electrolyzer, a machine that produces hydrogen at 95% efficiency, which is well above anything that you will achieve if you buy a hydrogen electrolyzer off the shelf today. So their 100-kilowatt system, it is slightly delayed, but we anticipated there was a possibility that there will be a delay on this 100-kilowatt system. So that's built into their funding road map with the money that we raised with them last time. So they're still fund to produce that system, and we're still expecting it to be commissioned during Q3 as in this quarter of this year. They've also got a field trial going on a [indiscernible] machine running on a customer premises in Saudi Arabia. So this is not set in Hysata facility it's halfway around the world, and that is working, and it's -- they've reproduced that world-leading efficiency at that customer site. So they've demonstrated the ability to put machine in different places probably that [ where we need ] efficiency. And with that, I will hand back to David now.
David Baynes: Thank you very much. Thanks, Mark. Yes, financial results, nice to review again as always. I'm going to go through this fairly quickly. It pretty much just pulls together all the things we've been talking about. Overall, cash, very strong again, GBP 237 million cash, that's actually up 47% from this time last year, and that's because of a very successful exit Featurespace at the end of last year, which of course, has generated significant amount of cash. We are, of course, slightly down from the year-end if we make investments, and I'll give you the cash flow in a minute to talk you through that. There was a small loss in the period, that 1.5% to about GBP 43 million loss. It is worth making the point as you've already heard that since the year-end, all of that has reversed actually for improvements in Nanopore and Hinge, about GBP 35 million of that's come back. And it means combined with share buyback, actually our NAV per share is now actually up. So it was briefly down at the half year from 97 to 96. We're now about GBP 1 a share. So that's, as I say, a combination of the improvement since year-end and also the share buyback which improves the NAV per share as we go along. And net overhead is down about 14% period-on-period. I'll do a slide on those in a minute and talk you through it. This next slide could be long, could be short. I'm certainly going for the short option increase and as disclosed in the interim results. There's a number of kind of uplifts over 5 or 6 companies and a number of write-downs over a similar number of companies and a foreign exchange loss of GBP 14 million, which relates to the pound being strong when we convert some of our American-denominated assets in particular, that may or may not reverse at some stage, depending on currency. But those elements just eliminate, quite frankly. And then you've got really just to do with 2 funding rounds really, Artios and Oxa, where actually, as you've already heard, the company is performing well, but actually, we've not either completed or have started a full funding. And as such, we have no choice but to actually make some kind of provision against both. And those -- that accounts for sort of GBP 9 million of that. So pretty much that is the story of the half. But just adjusting for those 2 assets in that small loss, but that loss has now been eliminated between the year-end and today. That's why when we now look at the assets here, assets are down a small amount from about GBP 1 billion to GBP 900 million, those are rounded, it's actually down about GBP 60 million. So it's a combination of that small loss and also shares we bought back because, of course, the buyback does actually balance sheet slightly smaller as we buy back shares. The concentration hasn't changed. So that next bit of the slide telling you there's no news. It was about exactly 56% of the top 10 at the year-end, and it is now. It's pretty much the same sort of ratio of how the portfolio looks. And actually, the next slide is also no change. This is a slide I always do but talks about how well the portfolio itself is funded because of course, that's very important. And actually, we've increasingly seeing this pattern whereby it's about 1/3 that is funded to profitability. You don't need to worry about that. And then there's about 1/3, which over the next year, 1.5 years need funding and then another 1/3 that doesn't need funding until '27 and beyond. So much of the portfolio is pretty well funded, but there will always be funding challenges and companies requiring funding at any point in time. So that kind of 1/3, 1/3, 1/3 rule is beginning to come pretty well solid as a rule. And now this just pulls it all together. So here's the cash of what's happened, and you've heard, I think, all of these numbers now. We've invested GBP 35 million in the period. It occurred over a number of assets. Most in current assets, only about 12% of that total investment into new assets as a single new company in the period. Realizations, we've talked about at length, GBP 30 million. Share repurchases, GBP 25 million. It almost exactly what we realized we've used on buybacks. That's actually a coincidence. But we are this year committed to 50% of our realizations to be done in the form of buybacks. It just so happens that some of the buybacks we've done relate to last year. It doesn't quite work out the math. But in short, we will be during the course of the year, I think 50% of our realizations and buybacks. Overhead is down, as we've heard, the net debt, actually, we generated about GBP 2.6 million net income on interest, but we've made some repayments on the debt in the period, which means the actual total move just a small reduction overall. And then there's a relatively large working capital movement. That relates to the licensing, which we just started talking about a bit. What happens on the licensing, we own certain licensing assets on Imperial College. We're responsible for them. We often collect in the proceeds and then actually we keep some, some need to distribute to other parties, it's Imperial College itself. And that means you sometimes have these working capital movements where we're paying out money in receipt on behalf of others. And that's why you get a relatively large movement. But that's the story of the cash, cash still very, very strong. And overheads, I'm very glad to say pretty much exactly what we said they'd be. So that 15% this time compared with this time last year, but we're going to do what we said we'd do. When we did the cost reduction in the second half last year, we said we'd reduced the '23 number, which was about GBP 22.5 million net to about GBP 16.5 million net. That's what we're going to do, 23% reduction. That still looks like what we'll achieve at the year-end. So I think without further ado, I'll pass back to Greg.
Gregory Smith: Thank you, Dave. So leaving some good time for questions. So a summary of the half year results. So we made good progress in the first half. We saw a number of encouraging developments in the portfolio, many of which Mark has touched on, the public markets were a particular fair value contributor, including that Hinge Health IPO and Oxford Nanopore's strong trading. We made good progress on exits of GBP 30 million, and that momentum into half 2 means we remain confident of our target of achieving GBP 250 million of exits by the end of 2027. As Dave just mentioned, our NAV per share essentially stabilized over the period and has subsequently increased since the period end to GBP 1 a share -- about GBP 1 a share. And on the scale of capital and expanding our resources as a group, our capital resources as a group, we continue to see a big opportunity. And while the market hasn't necessarily moved as quickly as we hoped or expected, good confidence of securing at least one new mandate by the time we next see you all on the IMC platform for our full year results. I'll just quickly remind you, looking forward, our investment case is based on these 3 sort of hypotheses. The first is that there's significant value in U.K. science and technology, given our world-leading position there. And the IP Group is one of the pioneers in this space and with a long track record is well positioned to exploit that and that we hope we've set out an attractive shareholder opportunity in the next 6 months and indeed out to 2027. And then just because I think this is a good form, these were the priorities and future areas of focus that I set out at the full year, which we are aiming to achieve over the course of the time between now and the end of the year in 2027 on the exits. And I think on all of those, we're making good progress. So I won't go through them each in turn, and I'll cover them all off when we report to you our full year results. So thank you, everyone, for listening, and we will now turn to questions.
David Baynes: Great. Thank you very much. Well, that's gone well so far. We said we'd be 40 minutes, and we're 38. So we've got quite a lot of questions, maybe not quite as many as normal. So we may get through this now. Laurent Tess, if you don't mind, I think we've answered yours, you had a question about why you're selling Hinge and keeping some of the smaller positions. I think Mark answered that while he was presenting. So I'll move on to next. Kane, nice to have you, analyst from Deutsche. Nice to have you here, Kane. You've got 3 questions. I'm going to do them one at a time. Mark, I'll do the first one with you. Might the adverse uncertain conditions research in the U.S. for example, funding like the NIH create opportunities in the U.K.
Mark Reilly: Maybe. And there are headwinds as well and some pharma investments being withdrawn from the U.K. newspaper a couple of week or so ago. So I think we frequently see -- remember a few years ago, this question was about Brexit and the time before that, it was about the recession. And so there are lots of these kind of ebbs and flows of funding. I think it takes time to have an impact on us because it takes time to then filter through to the funding of the science, and that takes time to filter through to the commercialization that's coming out of those research lab, I would say not in the short term, but maybe in the long term.
David Baynes: Kane, your second question, I'm going to point out to you, Greg. Why do you think Larry Ellison is so keen on LNG?
Gregory Smith: I think looking at the time the question came in, it might have been before I said why I think he's keen. I mean I think the commercial answer is that the technology is incredibly well suited to 2 of those big themes that they're trying to solve the big global challenges they're trying to solve through the Ellison Institute of Technology, particularly around sort of human health and genetics, but also on the sort of sources of food and agriculture. Clearly, they're building a significant position there, which is interesting. So I haven't spoken to them directly. So I couldn't say definitively, but it's a good sign if you -- he's had such an incredible track record, like 40 years of delivering value through being able to not necessarily be ahead of the curve on technology adoption but certainly delivering real cash value. So I think it's a good sign, but also, it's one to watch.
David Baynes: Yes. I'm going to point the next one to you, Mark, we know it's coming. Hinge Health up strongly post period end. Will you be inclined to take some profits?
Mark Reilly: Well, we're locked in at the moment, and we did take some of the IPO. Then as I said earlier, it's an evaluation of the liquidity and the value available to us at any given time also.
David Baynes: Thank you very much.
Gregory Smith: And as you'd expect, obviously, we don't want to tell you about our intentions on our quoted companies because there's smart people out there that can do things with that information. But yes, we're pleased with that holding, and it's a good source of liquidity over time.
David Baynes: The next one, Sam. Nice to have you here. Another analyst at Berenberg, good to have you here, Sam. I'm mentioning this because people in the past have said, can you make it clear when someone is an analyst and when they're not, so I'm doing that. I'm going to split this question. I'll do the first bit, Mark, and then maybe give you the second, if that's all right. First, one sentence, but would you be able to provide more detail on your IP licensing portfolio? And then separately, and therapeutic programs, when do you expect licensing income to ramp up? I'll perhaps do a little bit on the licensing. Licensing traditionally has been a relatively small part of our business. We inherited the licensing as part of the acquisition when we bought Touchstone. They, as part of their remit used to do the licensing for Imperial College. A very large number of patents, some of what we call active, ones that actually we had an agreement around them and some of the ones that was just exploratory and still waiting for maybe some of the license. And we retained all of those active licenses. So there's a relatively big portfolio about 80 different licenses. The actual strengthen that's what question is. The actual strengthen is relatively small traditionally, we'd be recognizing something like GBP 500,000, GBP 700,000 income a year. That tends to be the patent licenses you have to have a large number, most of them generate relatively small amounts. And then from time to time, you can sometimes get some really big licenses, a single license can do 95%, 99% sometimes of your license income. We have kind of 3 licenses out there. Greg has already referred to the Net Zero one. It's early. It's early. We're not going to start making claims about their value. And we're not recognizing in the books. Actually, in accordance to accounting standards, it's unlikely we will recognize in the books until such time as actual license income is recognized. So you can't kind of recognize it like a potential intangible or something. But any of the top 3 have the potential to, in time, generate significant revenues. Net Zero are now about a GBP 3.8 billion company, a GLP-1 agonist and it looks promising at the end of a Phase II trial. There are some notes out there. If that got to a Phase III trial, if that then became a successful drug, there may in time be some decent license income that come to us and something we would be also shared with Imperial College. So that's probably what I can say at the moment. At the moment, no impact on the financials, no significant impact on the financials. But maybe in time, maybe -- and I'm thinking maybe 2 to 3 years' time, you may start seeing if some of the things go well, some decent licensing income, and we'll talk about that at the time. It's a bit of a wide one to talk about all therapeutic programs. Is anything you want to touch on, Mark, where we might treat that question as dealt. I don't know there's anything over and above what we've already talked about there.
Mark Reilly: I wonder whether that was at 10:18 as well as we have couple...
David Baynes: Yes, I think that is.
Gregory Smith: It's worth saying in the appendices in our results presentation, we do a sort of a summary of the main holdings and where they are in their clinical development and our valuation. And so what we're sort of -- what we're seeing as milestones coming up. So that's sort of a ready reckoner and I'm very happy to talk about in more detail than any of the others we haven't covered when we next see you, Sam.
David Baynes: I've got another one for you, Sam, you split yours. I'll give it to you, Greg. I mean, given the current cash position and potential exits over the next couple of years, is there any change in your thinking around buybacks?
Gregory Smith: Well, we hope we've got a pretty clear policy out there. While the discount is greater than 20%, the proportion of cash that we allocate to returning to shareholders is being done by way of a buyback. We think that's most accretive way to do that at the moment. And at the moment, for this year, we're doing -- we're using 50% of our realizations to that end. We will, as always, look at that number for next year. Historically, it's been around 20% of realizations that we've returned, which we see as sort of a more sustainable steady state. But obviously, we'll look at the relative opportunities for buybacks of our own shares versus portfolio opportunities and some small number of new opportunities. So no real change in the policy. The application changes each year based on circumstances.
David Baynes: Next, Josh L, not an analyst, of which I'm aware. I'll probably take this. How has there been no First Light Fusion fair value movement despite a complete change of strategy during the period? There has been a significant change in strategy and actually some very promising technical developments, which I won't try to talk to. You can ask Mark about those if you're interested. But actually, reviewing the valuation, one of the main considerations which is like the probability of funding, the likely valuation of funding. And when we reviewed it, we came to conclusion that actually the kind of value we carry it at looks pretty robust around what we'd expect to value that.
Mark Reilly: Myr recollection is that the new strategy was fairly well advanced at the time of the full year valuation. So that was...
David Baynes: Pretty much factored in, yes, exactly. And at the moment, I think from where I'm sitting in terms of technical side of valuing it, I think that actually we carry it where we sort of think it may be valued. We may be wrong, but we will see. But we -- after quite a lot of discussion, we felt it was fairly valued and the movement in its actual carrying value is that just related to money we've invested in the business. So it's gone from. So that [indiscernible] So next, who would this be? From MV, hi IP Group team, nice momentum in portfolio. Thank you. Any plans on a partial full sell down on Nanopore, particularly given the IT initiatives? Well, Greg has already mentioned unlikely to comment on that. I don't know if you want to say anything further, but we're unlikely to comment on ourselves to public companies. Maybe you want to add to that Greg [indiscernible]
Gregory Smith: I don't think anything to add to what we've said on that front. We do look at it all the time. It's not -- I've said in the past; it's not our strategy to have big holdings in large, quoted liquid companies that our shareholders can access directly. So it's a matter of time, but we're very -- we're a happy holder given the progress in the portfolio, and we always look at liquidity.
David Baynes: Next question from Bill H. Probably, Mark, is about you, what is the role of IP Group's managing partner? If you'd like to...
Mark Reilly: Well, to deliver shareholder value to increase the value of our existing portfolio and to make exciting new investments into companies that will be future well-changing company. So I have responsibility across the portfolio. I'm the person that chairs our investment committee. So I sure that the decision-making is sound and as good as it can be. And I see all the decisions around transactions of investments and exits.
David Baynes: Thank you. Again, I think one for you, Mark, how much you want to talk about this. Can you -- this is Milosz, another analyst, Edison this time. Milosz, nice to have you. Can you give us an update on the monetization of Ultraleap patents and what you're able to talk about on that, Mark, I think.
Mark Reilly: I can. I wasn't sure if I could, but I [indiscernible] text the CEO and he told that they did a LinkedIn post on Monday actually on this that the transaction, you might recall, we had an agreement to sell the patent portfolio to a company called [indiscernible] specialist in monetizing patent portfolios. And we were way to close that transaction when we last spoke publicly about this. That transaction has now closed. And so that's very positive. And the company has received the proceeds for that initial part of the transaction. There is an earn-out agreement. So as [indiscernible] monetize that portfolio, funds flow to [indiscernible] very positive. We really believe in the value of that portfolio. There's a lot of places where we think those patents are valuable. So we're optimistic about future fund flows from...
David Baynes: Thank you. Next one, there's more questions coming in actually. Questions are picking up page. Robin M, I'll give this to you, Greg. I think maybe you can talk a little bit about cash raise from private markets secondary sales, both in the past and going forward. Is this becoming an easier way to raise capital? I think possibly referring to the small deal we did last year. I'll let you...
Gregory Smith: Yes, so yes, we did do a small secondary last year. I think there's another question further down that asked about how are the assets marked and all that sort of stuff. And I think at the time, we said that on average across the various holdings on the balance sheet, it was a slight premium. It was about NAV, maybe a tiny premium to NAV on the balance sheet, and it was across -- it was a secondary that was across a few companies on the [indiscernible] funds and a few companies on the balance sheet side. There was -- the exact total was around GBP 23 million, I think, across the 2 pools. And we also said that there were things like preemption rights and all that sort of stuff, which we -- which meant we couldn't complete the full transfers that we planned to. I think we did just over 2/3 of the GBP 23 million, I think that transaction is all played through. And we do look at other options like that. We've explored all the time that I've been at IP Group, which is sort of 15-plus years, we've always looked at are their ways that we can accelerate value through these sort of structured transactions. I think the secondary markets are interesting at the moment. And they're interesting potentially -- for us potentially as we think about how we access scale up capital and build some strategic relationships. But also the secondary market is quite interesting because we have a permanent balance sheet and our liquidity position is reasonably strong, relatively speaking. There is clearly an opportunity where in companies that we're existing shareholders of that we particularly like or even potentially companies that we've tracked over the last few years that have made significant developments, but perhaps the cap table isn't as strong as it could be, then clearly, there's secondary opportunities for us. So yes, we look at it on both sides, and we'll always consider those opportunities.
David Baynes: Next one, I'll point towards you, Mark, from Milosz again. And it's one that probably just give a general feedback on. But what appetite for M&A and licensing deals do you see across the life science sector at present? It's quite a wide-reaching question.
Mark Reilly: I mean it seems good. My context is perhaps lacking a bit because I wasn't responsible for life sciences until a year or so ago, but I don't have a full history of staying close to this market in a way that others might, but it's -- that we've had quite a lot of interest in particularly one of our portfolio companies, there's been some inbound interest from potential sort of license acquirers. So in the small sample set that we have, it's maybe not representative, but it seems positive.
David Baynes: I'll have a next one. Congratulations. This is David R. Congratulations on a good set of results. Thank you for that. On what basis is the optimistic view of exits of GBP 250 million for the period through to '27? Well, it's basically on our internal projections. So you can imagine we're running the sort of capital allocation process all the time. So I'm always updating estimates of how much we need to invest, how much we think we're going to realize, therefore, what's the closing cash balance is going to be. And in that process, we're always running out 3-year projections what our realization is going to be. And we do feel relatively optimistic in the period at the end of '27, we will generate that level of realizations. And to be clear, that doesn't include Oxford Nanopore. There's no plan for selling that. Nanopore is not in that. So one would hope Nanopore itself, that's the number they're talking about, could easily grow to a GBP 200 million asset on its own share at least by that time. So that's separate. We do think looking -- particularly there's a number of the therapeutic programs, which we think will come through in that timeline reporting both in '26 and '27, which we feel if they are successful, could generate really quite sizable realizations for us. So when you look at our numbers, I mean too much detail. When you look at our estimates for what we think we're going to realize, we have weighted probabilities, all types of complexity to try and estimate it. But we're increasingly finding we're relatively accurate at it. Although it's sort of a balancing day with 10% probability of that and 40% probability of that actually, it seems to work out relatively well, which is why we've been able to manage our cash relatively well. So in short, it's based upon our current expectations of the portfolio as it stands, and there are quite a number of, as you can see, look at therapeutic readout, therapeutic quite big programs reading out, which if any one of those work could make a serious dent in that number. And we are certainly, as we've already said, on target to do the number we plan to this year already. Next one, Haran, I hope you don't think I'm ignoring you. I think this is a question around the secondary we did last year, which Greg referred to, and I think we've answered. So I'll have a next question, which could answer the last one I haven't read, but I will read it out. We'll see what we've got. This is from David R. Your ambition is simply to increase NAV rather than achieve a more typical target of, say, 15%, which might be expected for VC investing. Should shareholders assume either that you're very cautious or simply don't believe you can create typical value on this risk or asset class in the U.K. Greg, how about you have that one?
Gregory Smith: We all have a view on that.
David Baynes: Yes. We go for that.
Gregory Smith: We've got to be realistic with the current environment that we're operating in. However, it's fair to say that our ambition or our objective is to deliver compelling financial returns that are consistent with that risk profile. And certainly, when the IC needs to consider any investment in a portfolio company, we're not looking at will we keep this holding flat. We're looking at VC type multiples and VC type IRRs. And so the objective is to have more of those successful returns, and we focused the investment strategy more into those areas where we've seen that those success returns in the past, but also importantly, where we think there is returns to be had in the future in delivering against the sort of science-back investing environment. I don't know, Mark, if you'd add anything particular to that.
Mark Reilly: No, that's all.
Gregory Smith: Hopefully, we're moving into a period where that the environment is a bit more accommodative, and we're seeing good pickup in M&A interest. I wouldn't say it's sort of like a wall of M&A interest, but certainly compared to the last couple of years, there's quite a marked increase in inquiries. So that's obviously what -- it's the sort of cash-on-cash returns ultimately, which are important. And I think if you look at the track record of things we've had, including feature space recently and others, the cash-on-cash record there is very good. It's sort of 5x, 6x and in the sort of 20%, 30% IRR. So that's what we're targeting. The NAV gives you an idea of how it's going over time. But sometimes we have NAV setbacks and that doesn't necessarily mean that the company is not going to deliver strong cash-on-cash returns in the future.
David Baynes: I agree. I also -- but I think 15% is something we can certainly can achieve. And certainly when you look at some of the areas we now focus on, as Greg said, actually mathematically, you can see the past, no proof of the future, but you can see investing in those areas in the past, we have achieved those sort of returns. So it's certainly a number we have part to and believe we will achieve. Andrew M, next, talking about the fall in value of Oxa, which has been partially explained by Greg. Could we -- he has mentioned there's some good technical progress. Could we perhaps, Mark, a little bit more about how we feel the technical progress despite the fall in value.
Mark Reilly: Yes. Yes, I get an e-mail from the CTO once every couple of weeks talking about some of the exciting technical progress in the -- most of it's in the context of deployment on actual vehicles in real-world applications. They're doing a lot of work. Some areas I don't want to go into too much detail of because this is sort of commercially sensitive information, but they're doing a lot of work deploying their software on to real-world vehicles. One is in Jacksonville in the U.S., where I got an e-mail from the CTO the other day saying they're now 1,000 journeys and over 4,000 kilometers traveled autonomously. And I believe all those passengers survived the experience. So that seems to be going very well. And the sort of equivalent proof point in the off-road domain currently fitting out the trucks that transport big containers around ports. And the CTO has been sending me videos of these trucks. Look, we've now got 2 of these things and they can drive around without driving into each other. And so its very rapid progress being made of deploying this software on unusual vehicles accommodating all the parameters of those vehicles and the different requirements of their environment and operating effectively in those environments. So yes, I think from a technical perspective, they move at a great pace at Oxford and it's very impressive.
David Baynes: Thank you very much. I appreciate that. Going to the next one, Haran again. You do get your question at this time. There were reports in the press reg Hinge Health that some shareholders sold shares at the time of their most recent results. Could IP Group have sold at the time?
Mark Reilly: Yes. I think that may refer to the staff sale I guess there was a provision which allowed them to sell in that period, which other shareholders couldn't. I'm in contact with the bankers and with the company pretty regularly. I spoke to them a couple of times around that time that the staff sales occurred. So...
David Baynes: Yes. No, we can confidently say we couldn't have done no. We're aware that we've tested the market. We know what we can and can't do and we couldn't know. Next one, Andrew M, where GBP 5 million investment in First Light go, I think [indiscernible] effectively bridge funding, a standard way we often fund our companies. I don't know if...
Mark Reilly: Yes, on this operating capital, it's paying the salaries of the people that are continuing the research, developing this product that they're selling to the people who are pursuing the nuclear fusion and the people who are selling that product.
David Baynes: I should warn everybody, by the way, but we are exactly at 11:00. So those of you only have on that, we won't be offended if you leave, but we're going to carry on. I think I've got about 5 more questions, so we will carry on. So for those that are engaged, stay with us. I've been guessing about another 10 minutes. But thank you for those who have to leave. I'm going to hand this to you, Greg, slightly unusual, but interesting question. Which competitors do you use as internal benchmarks. Well, are there any public or private funding vehicles you view as best-in-class that you draw inspiration from? It's a good question.
Gregory Smith: It's a good question. Competitors or comparators in the U.K. I mean there's a reasonably well-developed market in the U.K. for certainly the early-stage bit of commercializing U.K. science. And a lot of the comparators, and we don't really compete with them significantly more often because there's more opportunities in capital generally at the moment. And you're often looking to collaborate rather than compete. We do compete if it's competitive deal. So on the U.K. side, there's Oxford Sciences Enterprise, we've got a small holding in that. We were a founder, shareholder in setting that business up, same with Cambridge Innovation Capital, Northern Gritstone, we work reasonably closely with, and we just launched that fund I was talking about for early-stage EIS investing alongside them in the portfolio. We also work some of the other well-known VCs in the U.K., Amadeus. And then I suppose some of the people that I have looked up to in terms of scale of business, I guess it's businesses like ICG, who very successfully used their flagship credit product to build out a very scaled asset management business bringing in private capital to support their existing portfolio and indeed to then build that out. So I often look at those comparators as sort of ambitious directions of travel for the group because certainly, it does feel that there is a large amount of capital that wants to allocate to this space. And so clearly, being in a position where we're a public listed entity, we've got the professional valuations and the systems and the reporting and the track record puts us in hopefully in an attractive position for those partners who are looking sort of reputationally at working with people that have been around for a period of time. So yes, there's probably those sorts of businesses. And of course, there are some world-leading VCs who are focused in particular areas, and we look at those for best practice and various of the team have the sort of their favorite bloggers in VC space that we track their thought leadership. They're very well resourced on VCs on the West Coast, some of whom they're increasingly moving into the deep tech space where we are. And so looking at their pronouncements and how they're seeing the world is all useful information for us.
David Baynes: Thank you. I'm going to move on to Ian. I'm going to point this from your direction, Mark, if that's all right. It's a question we sort of get from time to time. How are you finding the U.K. universities at present? Are their funding issues making much difference to the way they're approaching tech transfer? And sort of separately, but connected, are any of the government-funded schemes being impacted by budget constraints and has this affected you at all?
Mark Reilly: I would say yes, but I would say that's been the case for the past 15 years. I mean, they've always had these constraints on budgets and that has always manifested in their approach to tech transfer, and it sort of varies by university based on recent success or lack of in the domain of commercializing innovation. I think some of the universities that have had one standout success are much more kind of ready to invest in the area of tech transfer than others who have their fingers burned by it. So I wouldn't say that I've observed a huge sort of sea change or big fluctuation in the last period, but there is definitely always a budgeting pressure on tech transfer activities. And any of the government-funded schemes being impacted by budget constraints. Again, we're a little bit to us and there is definitely -- you will hear that if you walk the corridors of universities that budget constraints are impacting the research. But I think in some of the exciting areas that we're focused on in areas like quantum computing and emerging AI research work, there is still good money flowing into those areas, and we've done some really exciting research. And U.K. has always done a lot with a little. We've always done good research with limited results.
David Baynes: I'll go on next. I think I'll probably take this one. It looks like my direction of it. Andrew M, thank you for this. Is it really accurate share buyback program has accelerated? It's up compared to '24, pretty stable in '25. I mean, I guess the answer is yes and yes to that. It certainly accelerated compared with what it did historically. I mean certainly, the amount we bought about 75 million shares just in the last year compared with sort of GBP 88 million, I think, ever. So it has, yes, accelerated. But it's a fair point within the year, it has been buying back at a relatively constant rate. During the year, why can our program be increased further? Well, it could, obviously. But that's the correct balance. I think we feel if we think we're buying at about the right rate and using about the right proportion of our proceeds on that buyback program. We feel it's been relatively successful. Ironically helped by a very low share price and then we bought quite a large amount of shares in the first half year at an average of about 47p. So we think we've got the balance right. We've already made this commitment we're doing half of the proceeds this year. So I think we feel that we've got the balance about right. Of course, one could always do more. There are some people that are saying, why don't you do less. So it is about trying to get a balance really. Next one, I'll probably do that as well, [indiscernible] doesn't it from Haran. The cash generated in half 1 from sales, what was the cash value relative to the holding value. Well, ironically, they were all actually. There's about 5 sales over the period, and they're pretty much all public company -- public company. So in terms of we haven't talked about what was an up or down because it was just the market price at the time. And a number of them went, I think, in for example, went for about double. That was the main one. I think we got about GBP 8.8 million. I think at the year-end, that was got in books at about GBP 4.4 million. So we haven't -- it doesn't really make sense to talk about whether we sold them up or down at the time because they were public market shares in any case. Let's have a quick look at the next one, sorry, coming down, Phil N. I think we've had this before, Phil N, if you don't mind, you're asking a question about whether we could sell Hinge or not. I think we've answered that fairly comprehensively. Okay, this one is always a tricky one. I'll ask Phil. I mean probably I'll point this to you, Greg. Always difficult, but for the shares to ride, you need happy existing shareholders and new buyer's summary. So who are the people who are selling? Is there a pattern, a trend or what? And is there an excess being dribbled out by a certain style of owners? Yes, quite a lot in that question. Do you have another go at there?
Gregory Smith: Yes. Well, the overall backdrop probably you'll have seen the same sort of data that we see around net flows in and out of U.K.-focused equities, which continues to be negative and quite significantly negative global equities, actually, the flows have started to become negative overall, but particularly the U.K. has been negative. So there has been certainly in my experience over the last 10, 15 years, the number of humans that we go and talk to in the U.K. who are managing small mid-cap capital has definitely decreased and the number of funds has definitely decreased. When you look at the -- we get a monthly register analysis each month, and we go through that and try and get some clues as to who's buying and selling. Often there's changes period-to-period on the tracker funds. And sometimes from month-to-month, you get some of the larger or middle-sized holdings either reducing the position a bit or increasing the position a bit. There's not really a huge pattern that I could talk to, if I'm honest. Our job is to deliver on the strategy to be able to communicate that strategy, and we seek to do that as actively as we can. We've got a number of capital markets events we've done over the course of the year to attract new investors. And Dave, maybe you just want to talk a little bit about the efforts we've done with brokers this year and the other sort of -- given the U.K. has been more net reduction in capital available with the other relationships we've been.
David Baynes: Yes. Yes, we're very proactive actually. I mean we have quite a wide range of brokers. I say our primary brokers is extreme supportive and very good. Numis and Berenberg, but we do also get some help. There's an asset called [ TKDY ] in New York, a small team of 5, who have been -- they've kind of identified about 200 American investors who are interested in U.K. stocks. And they've been getting us meetings. I probably have a meeting on average about once a week on them. And if they're interested enough, then Greg joins me, and we do a joint meeting. We think we -- it's often actually hard to tell. I know it sounds funny. We get a full shareholder register every month and you're paying down and trying to analyze. Sometimes you can't immediately identify who is what because they get through nominees, for example. But we think some of those American presentations are beginning to bear fruit. Cantors have also been helping us as well. We're finding some meetings both in America, and we've got some roadshows in Europe coming up. [indiscernible] have helped us. They took on a roadshow in Switzerland recently. So we're actually extremely active. And you will find by the end of the year our Head of Global Capital [indiscernible] some presentations in the Middle East and also in the Far East. So it's definitely not due to a lack of energy, and we are trying to get out and see people. And we think that is begun to pay dividends. We think and that partly reflects in the share price that we are getting people to find out how interesting the story is and find out how extraordinary discount is and what the opportunity is, is pretty much what we're telling people. Next one is from Lucas, a shareholder from Switzerland. Lucas, good to have you there with us. A new written -- just thinking out loud, you're giving an additional GBP 200 million in exits in private holdings until 2027. So you add that on to sort of Nanopore, which sort of hopefully by then, something like GBP 170 million. Are you saying that there's nearly 70% to 80% of current market cap might be achieved? I think the answer is yes. That was pretty much what I said earlier. Yes, that is about right. Obviously, there's a lot ifs in that. But if we achieve that, which we believe we will on the sort of non-nanopore holding. If Nanopore still performs as it should, we believe it will, yes, there's something between GBP 150 million to GBP 200 million Nanopore on top of that number, we will hope we will see. Last one, David B. Always nice talking [indiscernible] Why are you so good on someone. David B, this is for you, Mark. Do you think the start of U.S. drug pricing and tariffs by the U.S. administration is affecting pricing in the biotech market but ultimately successful innovation? If so, does that mean the model needs to be revisited so it is sufficiently profitable given the huge development costs? It's repeat your question.
Mark Reilly: Question -- danger of being a political question, yes. So from our perspective, yes, I think we've got to assume that there has an impact something that is an impact. It's something that the team is factoring into the valuation work that we do every time we make a transaction in the portfolio. And so with the sense of the model needing to be revised. I think it's about making sure that we're putting money in at the right price to reflect the ultimate terminal value of the company. And so that's -- you described it as a revision of the model on a macro basis, we're doing it from the ground up of the looking at these transactions and the value is there to be delivered in the context of the current market. The other thing I said, I don't think we're really seeing this in the conversations we're having with pharma in the portfolio yet. I don't think I haven't heard that we've had pharma coming to us and saying we can possibly engage with you on this or pay this much for this company on the basis that the ground has shifted beneath us, but that might be going.
David Baynes: And the last question is not a question, thank you, Filip N. Thank you, everybody, who stayed with us this long, and thank you all the questions. That's a 29th and last question, Jake.
Operator: Perfect, guys. That's great. And thank you, as usual, for being so generous of your time then addressing all of those questions that came in from investors this morning. And of course, if there are any further questions that do come through, we'll make these available to you after the presentation. But Greg, perhaps before really now just looking to redirect those on the call to provide you their feedback, which I know is particularly important to yourself and the company. If I could please just ask you for a few closing comments just to wrap up with, that would be great.
Gregory Smith: Thanks, Jake. Yes, so to summarize, again, we've made strong progress in 2025 year-to-date, good progress on cash proceeds, and that gives us good confidence around that GBP 250 million of exit target to the end of 2027. I think the standout in performance for the first half or standout transaction was that successful Hinge Health IPO, which we're very pleased to see and delighted for the team and of course, for our financial returns, and that's helped NAV per share now get up to about GBP 1 a share, and hopefully, we go up from here. And then on the share price, we've done -- continue to do 2 things that we think we can to close the discount, convert more portfolio into cash and return that excess capital with discipline at today's price. We still think that buybacks are an accretive tool. And so we've been using that tool more aggressively that year, and as David said, to good effect, and we'll continue to weigh buybacks against new investments strictly on a returns basis. And so we are one of the world's most experienced university science investors. And so we remain uniquely positioned to capitalize on the sort of the fiscal reform that we're seeing and hopefully, this rising demand for high-growth innovation. So thank you all for listening and look forward to updating you on progress for the rest of the year and into 2026.
Operator: Perfect, Greg. That's great. And thank you once again for updating investors this morning. Could I please ask investors not to close this session as you'll now be automatically redirected for the opportunity to provide your feedback in order the management team can better understand your views and expectations. This will only take a few moments to complete, but I'm sure it will be greatly valued by the company. On behalf of the management team of IP Group Plc, we would like to thank you for attending today's presentation. That now concludes today's session. So good morning to you all.